Operator: Welcome to the Lee Enterprises 2023 Fourth Quarter Webcast and Conference Call. This call is being recorded and will be available for replay at investors.lee.net [Operator Instructions]. A link to the live webcast can be found at investors.lee net. Now I will turn the call over to your host, Josh Rinehults, Vice President, Finance. Please go ahead.
Josh Rinehults: Good morning. Thank you for joining us. In addition to myself, speaking on this morning's call are Kevin Mowbray, President and Chief Executive Officer; and Tim Millage, Vice President, Chief Financial Officer and Treasurer. Also with us today and available for questions is Nathan Bekke, Vice President, Audience Strategy. Earlier today, we issued a news release with preliminary results for our fourth fiscal quarter of 2023. It is available at lee.net as well as the major financial Web sites. Please also refer to our earnings presentation found at investors.lee.net that includes supplemental information.  As a reminder, this morning's discussion will include forward-looking statements based on our current expectations. These statements are subject to certain risks, trends and uncertainties that could cause actual results to differ materially. Such factors are described in this morning's news release and also in our SEC filings. During the call, we refer to certain non-GAAP financial measures, including adjusted EBITDA, cash costs and same store revenues, which are defined in our news release. We will also refer to digital direct costs, which is defined in the earnings presentation. For each of these non-GAAP measures, reconciliations to the relevant GAAP measures are included in tables accompanying the release. And now to open the discussion is our President and Chief Executive Officer, Kevin Mowbray.
Kevin Mowbray: Good morning, everyone, and thank you for joining us. I'm excited to share with you all of the many reasons why we're optimistic about the future of Lee. We'll begin this morning with an overview of our fiscal year 2023 operating results, including our industry leading digital performance. We'll also provide an update to our digital transformation strategy. And given the strong execution of the three pillars, I'm excited to share increases to our long term outlook. The Lee team delivered another strong quarter with continued execution on our three filler digital growth strategy, and I'm very encouraged at the pace by which we're transforming Lee into a vibrant digitally centric company. Our fourth quarter results helped us to achieve all of our full year guidance. Our ability to exceed expectation and produce industry leading results in this challenging environment demonstrates the success of our strategy, the resiliency of our business model to support these investment thesis and increases our conviction in achieving our long term goals. We grew digital only subscribers 36% for the year, leading us to substantially exceed our initial guidance with 721,000 digital subscribers by the end of the fiscal year. And we're also encouraged that we grew average rates for our digital only subscriptions, driving fourth quarter digital subscription revenue up 68% year-over-year and up 51% for the full year. On the advertising side, Amplified Digital grew revenue 11% in the fourth quarter and 20% for the full year with revenue totaling $91 million for the fiscal year pacing well ahead of other digital marketing solutions in the industry. These strong performances in digital revenue are pushing us down the path of driving recurring profitable digital revenue, which bolsters our confidence in achieving our long term goals. We faced significant macroeconomic headwinds this year, the soft advertising environment across the industry and an uncertain market for subscription products with consumers, our print revenue streams were negatively impacted as revenue trends worsened. This seems to have quick and decisive action by eliminating more than $100 million in cost reductions this year. This accelerated growth in digital revenue combined with solid cost management resulted in achieving our full year adjusted EBITDA guidance. This solid performance is a testament to the fact we have the right team and the right strategy in place. And now I'll pass it to Tim for more detail on our fourth quarter results.
Tim Millage: Thank you, Kevin, and good morning, everyone. Total operating revenue was $164 million in the fourth quarter. Digital revenue growth continued at a strong pace with total digital revenue up 14%, driven by 68% growth in digital subscription revenue and 11% growth at Amplified Digital, as Kevin previously mentioned. Cash costs were down 17% in the fourth quarter as a result of our responses earlier in the year to address the soft revenue environment combined with cost actions related to our digital transformation. Finally, adjusted EBITDA totaled $30 million in the fourth quarter in line with prior year and a 29% sequential improvement to third quarter adjusted EBITDA. Despite other the challenges faced this year, our rapid digital growth and strong cost management, gives us momentum heading into fiscal 2024. Let me spend a few minutes walking through the execution of our cost actions as we took significant action in 2023. As we previously mentioned, the headwinds faced this past year accelerated declines of print revenue. And as a result, we executed more than $100 million of cost actions with a focus on costs tied to our print business. The majority of our cost actions were permanent and given the timing of the actions, we'll have a $50 million savings in fiscal year 2024 from the actions we took last year. In addition, we also executed temporary actions totaling $13 million of onetime savings in FY23. While the team remains steadfast in managing costs associated with our print revenue streams, we continue to focus on driving recurring sustainable digital revenue growth for the future and are committed to making the necessary incremental investments. The investments we made in new talent and technology and the increased digital cost of goods sold totaled $25 million. These costs will have a short term impact on our margin profile but are expected to drive Lee's digital transformation. Moving to Slide 7. We continue to strengthen our balance sheet. The principal amount of debt at the end of the fourth quarter was $456 million, a reduction of $120 million since March of 2020. As a reminder, our credit agreement with Berkshire, our sole lender, has favorable terms that are incredibly important for us as we execute our strategy. It allows us the ability to make the necessary investments in talent and technology to fuel our recurring sustainable revenue growth. The agreement was executed in 2020 and has a fixed interest rate and a 25 year maturity. These favorable terms have been incredibly helpful in the rising rate environment we have seen over the last few years. In 2023, we made no pension contributions as our pensions are overfunded in the aggregate. Finally, we continue to identify opportunities to monetize our noncore assets, which facilitates accelerated debt repayment. We closed $12 million of asset sales this fiscal year and we've identified an additional $50 million of noncore assets to monetize, which are in various stages of the sale process. As a reminder, with solid execution of our three pillar digital growth strategy as well as our commitment to improving our balance sheet, our goal is to achieve our long term target leverage of under 2.5 times. And with that, I will turn it back to Kevin.
Kevin Mowbray: Thanks, Tim. Our three pillar digital growth strategy is guiding our digital transformation and is the foundation of our investment thesis. We're focused on expanding our digital audiences, growing our digital subscriber base and revenue and diversifying and expanding our offerings for local and regional advertisers. As we complete fiscal year 2023 and enter into fiscal year 2024, we'd like to provide updated long term targets on key metrics for the company, including expecting our three pillar digital growth strategy to drive more than $450 million of recurring sustainable digital revenue. In fact, with that level of performance, Lee is sustainable and vibrant from revenues and cash flows from only our digital products in five years, that's an incredibly important point as the growth of our three pillar digital growth strategy plays out. Lee continues to be the fastest growing digital subscription platform in local media by a significant margin. Our fourth quarter digital results led the industry for the 16th consecutive quarter, that's four years of industry leading digital subscriber growth. We now have 721,000 digital subscribers, which represents an impressive 43% compound annual growth rate over the last three years. This best-in-class performance gives us even more confidence in achieving our long term goals, which we'll cover in more detail momentarily. Amplified Digital led the industry with an impressive 20% year-over-year growth despite the soft advertising environment. Revenue in Amplified Digital now totals over $91 million and has grown a staggering 50% annually over the last three years, far outpacing others within the industry. Fueled by these industry leading metrics, Total digital revenue achieved our guidance that we set last year while growing 14% year-over-year, and I'll continue to expound on digital revenue on the next slide. The significant growth of our digital revenue from our three pillar digital growth strategy has transformed the composition of Lee's revenue over the last few years. When we first launched our three pillar digital growth strategy digital revenue represented only 21% of our total operating revenue. And today, total digital revenue represents 44% of that revenue. We expect to reach the revenue inflection point in FY24 as more than 50% of our revenue will be from digital sources. And through continued strong execution of our strategy, we expect by 2028 more than two thirds of our revenue will be digital, allowing for more consistent overall top line revenue performance. Our industry leading growth in both digital subscriptions and digital marketing solutions will continue to drive Lee to this point. The tremendous progress we've made on our digital transformation continues to reinforce we have the right strategy and the right team in place. Our three pillar digital growth strategy is guiding our digital transformation and is the foundation of our investment thesis. Doing so will allow us to increase our shareholder value through continued debt reduction and multiple expansion. Slide 14 provides a long term outlook of our digital subscriptions and associated revenue. The acceleration in subscription revenue growth over the past few years is driven by the investment thesis we've made in top talent in the areas of content, branding and consumer marketing. These investments are producing strong results through engaging local content, effective branding campaigns and KPI driven marketing campaigns, and we expect the results to continue to push forward. With these investments and actions, we expect to achieve $150 million of recurring digital subscription revenue by fiscal 2028, fueled by 1.2 million digital subscribers. Turning to Slide 15. Our third pillar focuses on diversifying and expanding our offerings for advertisers through both Amplified and our owned and operated digital products. With advanced data driven ad tech, specialized category expertise, scalable custom video content and powerful first party data access, Amplified is a strong partner for local and regional businesses looking to drive growth, and we continue to see a significant growth runway as we execute that strategy. While Amplified is the growth engine for top line advertising revenue, our massive owned and operated digital audiences fuel high margin digital advertising revenue. Our owned and operated properties attract massive audiences and we're offering more video inventory and branded content opportunities to boost digital advertising revenue. Overall, we're confident in our advertising outlook because our team is intensely focused on growing high margin digital advertising revenue. And now I'll turn it back to Tim to close out.
Tim Millage: Thanks, Kevin. Our digital transformation is well underway, and we wanted to take the opportunity to provide an updated look at the performance of our digital business. As we aim to become sustainable and vibrant from the revenue and cash flow from our digital businesses only, we are not only focused on growing top line revenue but also maximizing the margin profile of our digital revenue streams. These businesses are growing at a rapid clip. Kevin spent some time this morning talking about the industry leading revenue performance giving us confidence to increase our long term outlook. Direct margin tied to our digital businesses was 72% in FY23, totaling $197 million. We expect these exceptional margin profile to remain high as we scale the business. Indirect operating expenses outside of our direct costs to fulfill are predominantly fixed. Achieving our long term digital revenue outlook and maintaining our digital direct margins allows Lee to generate direct margins sufficient to offset the direct margin of our print businesses. Said differently, we are on a clear path to being sustainable and vibrant from the revenue and cash flow from our digital products only. That is the goal of our transformation and our pathway is cleared. And looking more in the near term, Slide 17 provides a look at our fiscal year FY24 outlook. We expect adjusted EBITDA to be in the range of $83 million to $90 million. It's worth noting our cost actions have grown adjusted EBITDA in the second half of fiscal '23, and these actions are expected to provide a significant benefit heading into 2024. Total digital revenue is expected to be in the range of $310 million to $330 million and digital only subscribers are expected to total 771,000. And now I will turn it back over to Kevin to wrap up.
Kevin Mowbray: Thanks, Tim. To wrap up, I'd like to thank the entire Lee team for their efforts in driving our transformation as we move through our transformation and achieve our long term goals. We expect to drive significant value for our shareholders through converting debt to equity and through repositioning Lee as a digital first company. Under the guidance and oversight of our Board of Directors, the leadership team's continued execution of our growth strategy sets the stage for significant long term value creation. We have the right board, the right team and the right strategy to create long term value for our readers, users, advertisers and shareholders. This concludes our remarks. The team will remain on the line for any questions you may have. Operator, please open the line for questions.
Operator: [Operator Instructions] The first question comes from Daniel Harriman with Sidoti.
Daniel Harriman: I have a few questions for you, and I'm going to start on the print side, if that's okay. And I know that we're in the early stages of your fiscal '24. but can you just give us a little bit of an idea as to the trajectory of print decline, both for the year and also thus far into the quarter from a print subscriber perspective and also an advertising perspective? And then similarly, Tim, you had talked about $50 million in noncore assets that you had identified. And I'm just wondering if those proceeds will be earmarked for debt reduction?
Tim Millage: So first, on your first question with respect to our forecast for 2024. Certainly, in ‘23, we did make some product changes on the advertising side that did take down revenues, so some of the same store trends are quite a bit different than the as-reported trends. And looking at the same store trend, at this point, we are looking at similar trends in 2024 on the print side than what we saw in 2023, and that's consistent with what we're seeing so far in the first quarter. With respect to your question on the noncore assets, you're right, all of those would be earmarked, any free cash flow we have from that would be earmarked towards debt reduction, and that's just a way for us to accelerate some of the deleveraging that we have.
Operator: The next question comes from Michael Kupinski with Noble Capital Markets. Our next question comes from Michael Kupinski with Noble Capital Markets. Thank you. Now we will pull some questions from the webcast. Josh, please go ahead.
Josh Rinehults: Our first question is, the guidance for digital subscription unit growth for fiscal year '24 is a reduction from the fiscal year '23 growth? What is driving that slowdown?
Tim Millage: So as we saw in 2023, we outpaced our guidance by a significant margin for our digital subscribers. And as we've said in the last several years that our goals for our digital subscription is really the revenue component of it. And some quarters and some years, we're going to be outpacing on the unit growth. Some quarters, some years, we'll be outpacing on the rate growth. And we saw tremendous growth in rates in 2023 and that led to the big lift in revenue throughout the back half of 2023 specifically. And so we feel good about the guidance that we have with 771,000, still puts us on our path to reaching 1.2 million subscribers over the next five years.
Josh Rinehults: That concludes the questions on the web. I'll turn it back to Kevin for any closing remarks.
Kevin Mowbray: Well, thank you for joining us today. As I mentioned earlier, we remain keenly focused on transforming our business model for the long term benefit of our shareholders, our employees, our readers and our advertisers. We appreciate your time and your interest in Lee. Thank you again.
Operator: Thank you, ladies and gentlemen. At this time, we have reached the end of our question-and-answer session. This concludes our call.